Operator: Good day. And thank you for standing by. Welcome to the fourth Quarter 2024 Nu Skin Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you'll need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. If you would like to withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to turn the conference over to B. G. Hunt, Please go ahead. Thanks, Lisa.
B. G. Hunt: Good afternoon, everyone. I'm B. G. Hunt and would like to introduce myself as the new Head of Investor Relations At Nu Skin Enterprises, Inc. With nearly twenty years at Nu Skin, I've held positions in our global tax group, led our administrative services, helped build out our Southeast Asia headquarters and will continue to head up our global treasury team. I've enjoyed my early interactions with you and look forward to working more closely. Build our investment community as we continue to transform our business towards becoming the world's leading beauty, wellness, and lifestyle ecosystem. With the progress we've made in several areas, I'm excited to turn the time over to Ryan Napierski, President and CEO, James Thomas, CFO, to share more on the details. Before I do that, let me point out that on today's call, comments will be made that include forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor website ir.nuskin.com, for any required reconciliation of these non-GAAP numbers. And with that, I'd now like to turn the call over to Ryan. Thanks, BG. Thanks, everyone, for joining the call, from snowy Utah, where we're finally getting the snow that we need. Much needed here. But thanks for joining the call. I'll begin with an overview on our performance and then discuss our key priorities for 2025. As we continue to transform our journey towards becoming the world's leading integrated beauty, wellness, and lifestyle ecosystem. Fourth quarter revenue came in above our guidance range with encouraging in our core Nu Skin business. Our adjusted earnings per share excluding restructuring and other charges also exceeded our projections. This momentum combined with the continued strong performance from RISE demonstrates progress in our transformational journey. In the quarter, we delivered constant currency growth in the Americas, in and and paid down debt of $440 million. While persistent headwinds remain in China and South Korea, the growth in Latin America and parts of Southeast Asia was particularly encouraging and demonstrates our developing market strategy is gaining traction. Our Q4 results were driven in part by the launch of our new AgeLock TrueFase peptide retinol complex, and the performance of RISE. Our newest TrueFace product launched in late 2024 and is demonstrating strong market acceptance. This innovative product leverages AI discovered peptide technology to deliver retinol in a unique way. Combining two types of retinoids for a powerful result in a gentle formula. The success of this launch reinforces our ability to meet evolving consumer demands in the premium beauty space while maintaining our commitment to innovative formulations. Arrive segments achieved 28% year-on-year growth in Q4. In January, we announced the strategic transaction of Maybelli with Later and Summit Partners for $250 million. This transaction generated a five times return on our investments in 2021, and provides further validation of our RISE ecosystem strategy while also strengthening our balance sheet. Through our ongoing commercial relationship with Later, we'll maintain access to Maitrele's technology and social commerce capabilities to support our affiliate marketing business. So looking ahead to 2025, we have three strategic priorities as we work towards our long-term enterprise vision of becoming the world's leading beauty, wellness and lifestyle ecosystem. First, strengthen our Nu Skin core business. Second, accelerate innovation of our IO, intelligent beauty and wellness platform, including RISE, and third, improve our operational performance and efficiency. Let's dive deeper into each of these. First, strengthening our Nu Skin core business. Over the past few years following COVID, direct selling has seen perhaps the great in as consumers have shifted primarily to social online shopping. Social platforms have evolved their algorithms to maximize paid advertising revenue pushing down authentic product recommendations on their platforms. In addition, the broader declining consumer sentiment in critical markets like China and South Korea has impacted premium beauty and personal care categories. Our teams are acutely aware of these trends and are actively evolving our core business to succeed in the future by enhancing our entrepreneurial business model, to more effectively reward affiliates for building their businesses in a social-first manner. While continuing to reward leaders for training and motivating their sales. This new business model combines the best of affiliate marketing with the power of Nu Skin leadership and we plan to continue to roll it out with enhancements to various markets around the world throughout 2025. And beyond. We're also refining our product portfolio to better fit today's emerge consumer needs around the world, to make room for exciting new product innovations like Mind 360, Cognitive Health, our cognitive health line, which we began to launch in 2024 and will be launching in additional markets throughout 2025 as well as a full restage of our TrueFase Prestige beauty line to be rolled out globally in 2025. Meeting consumers where they are from a price value perspective is critical particularly as we lean into our developing market segments. With this in mind, we will be increasing our focus on Nu Skin's developing market as we seek out new growth opportunities. Leveraging our simplified and focused business model in Latin America, which is responsible for driving significant year-over-year growth in Argentina, we will be leaning into these high potential yet underperforming markets in 2025 to accelerate performance. Together with ongoing expansion efforts in India as we continue to we believe the developing markets will play an increasingly significant role in strengthening our new SkinCore business in 2025 and years to come. Our second enterprise priority is to accelerate innovation of of our IO, intelligent beauty and wellness platform, including RISE, We recognize to truly meet the needs of beauty and wellness consumers around the globe, a company must gather synthesize, and provide insights that demonstrate the difference of the products we produce to consumers. For the past several years, we have been building out our IO connected beauty and wellness device systems platform most recently with the launch of WellSpa and RenewSpa in the past two years. This intelligent platform now contains over 25 million connected treatments from nearly 500,000 connected devices with more than 100 million data points providing insights into behaviors and product usage within our IO platform. In 2025, we will begin integrating these topical insights together with data gathered from our bioproducts scanner as we build out a robust beauty and wellness insights database. These insights will power the AI engine behind our next innovation, Prism. Io. Our truly intelligent wellness device. Our scientists at RISE Labs together with leading spectral imaging researchers, have developed a clinically substantiated patent pending technology that can accurately measure micronutrient absorption in the skin. This non-invasive puck device aims to answer perhaps the biggest question for flexing nutritional supplementation. Do my nutritional supplements actually work? In and it provides this information at the touch of a fingertip. Prism. Io is scheduled for limited release to top performing sales leaders around the world in the second half of 2025 with a global launch plan in 2026 as we look to further strengthen our Euromonitor acclaimed position, of being the world's number one company for beauty and wellness device systems. We will dive much deeper into Prism. Io and our intelligent wellness journey in our upcoming earnings calls. And third, we will improve operational performance and efficiency around the globe as we align our business to what matters most, innovation, Grow. At EPS. As we wrap up the previously announced restructuring, we have taken an acute approach to evaluating every line item of our business. Our team is surgically analyzed our extensive global product portfolio, based upon strategic fit volume and margin as part of our multiyear plan to optimize our global portfolio by more than 50%, by the end of 2025. Improving inventory holdings gross margin and our total cost of fulfillment. Further, our finance and global leadership teams around the world have evaluated every market to optimize operations that will improve focus, execution and profitability around the world. We're leveraging a streamlined model developed for Argentina and extended into Latin America in the past year which has resulted in both revenue growth and improved profitability across the region. Our goal is to bring every market around the globe to our profitability targets 2025. James will dive deeper into our performance optimization plan, we anticipate will produce meaningful improvements to our overall operating margin in 2025 the years to come. Just before I wrap up, I want to comment briefly on the transaction of Maybelline. One of our RISE portfolio businesses announced earlier this year. Mabley represented approximately 4% of the company's revenue last year and transacted for $250 million. The sale of Mable has strengthened our balance sheet in many different ways. At a recent investor conference, I was asked how such meaningful value creation was seemingly unnoticed in the market. My answer was that we have been vocal about rise over the past two years with specific callouts for Mavily. However, investors did not ascribe the full value of this asset. The follow-up the follow-up question was then asked what is most misunderstood about Nu Skin? My answer is short with that unlike most companies in the beauty and wellness space, our public market valuation is weighted more upon the channel by which our core new skin business distributes our innovative products or or services rather than being value for the full suite of innovation and businesses across our enterprise. To be clear, we are proud of the direct selling heritage that we've built over forty years, and I believe that a company should be viewed for its full suite of value drivers. For us, this includes the value inherent within our core Nu Skin business including our innovative r and d engine, dedicated sales force and our operational infrastructure in nearly fifty markets. As well as new and emerging businesses within RISE in including companies like LifeDna, Wasatch Labs, and various other investments. Moving forward, it is incumbent upon us as management to continue highlighting potential breakthrough innovations like Mavli included including providing greater visibility into all other value drivers across the enterprise that propel us towards our vision of becoming the world's leading beauty, wellness, lifestyle ecosystem. So with that, I'll turn the time over to James. Thank you, Ryan, and thanks to everyone for joining us today. I'll start with a review of our Q4 performance, highlight key takeaways from 2024, and then discuss our outlook for Q1 and full year 2025. I'll be speaking to adjusted non-GAAP financial measures, as it pertains to our financial results. Reconciliations to the most directly comparable GAAP measures found on our Investor Relations website. For the fourth quarter, we delivered revenue of $445.6 million exceeding our previous guidance range despite a 4% negative foreign currency impact $20.1 million. Adjusted earnings per share came in at $0.38 surpassing our guidance and slightly ahead of our prior year $0.37. For the full year, we generated $1.73 billion in revenue landing within our original guidance even as we navigated an unexpected additional FX headwind of approximately $60 million. Our Q4 adjusted gross margin was 71.4%, compared to 72.1% in the prior year. Within our core Nu Skin business, adjusted gross margin was 76.6% down from 77.4% primarily due to a geographic shift in revenue away from China and Korea. As Ryan mentioned, our strategy to streamline the portfolio focusing on strategic fit, profitability, and affordability has successfully reengaged expanded our opportunity in developing markets with a more targeted product offering. Due to the expanding success in Latin America, and planned rollouts in 2025 in Southeast Asia Pacific, and Europe Africa we've made the decision to take more aggressive efforts to reduce our portfolio resulting in a $38.8 million write down this quarter. These strategic actions are already driving positive momentum, helping us grow our base sales leaders in Latin America and in turn, increasing revenue these emerging but high potential markets. Selling expenses remain consistent at 37.1%. For the core Nu Skin business, selling expense was 40.3%. Slightly lower than prior year's 40.8% in line with expectations. General and administrative expenses improved as a percentage of revenue declining to 27.1% from 29.7%, reflecting reductions in labor, physical facilities, and more efficient promotional spend. Adjusted operating margin for the quarter was 7.7%, up 130 basis points from 6.4% demonstrating our commitment to operational efficiency and disciplined cost management. Over the last several years, our business has navigated significant top line pressures. Necessitating a disciplined approach to cost restructuring. Through targeted restructuring efforts, optimized inventory and a migration to a shared services model for technology, we have worked diligently to align our cost structure with our current level of revenue. I'm pleased to report that our 2023 restructuring plan is now materially complete. While these efforts have been challenging, they have positioned us for a more sustainable future as our cost structure is now right sized to support our forecast performance. With this foundation in place, we are focused on driver greater on driving greater efficiencies and capturing opportunities for long-term value creation. I'd like to now shift our focus to our balance sheet and liquidity. Where we've made meaningful progress. A key priority in 2024 was strengthening our balance sheet. And we took significant steps to delever the business. We reduced our debt by $110 million funded entirely through our cash from operations, highlighting our disciplined approach to capital management. We delivered $70 million in free cash flow an increase of $10 million over the prior year. In addition, we returned $12 million to shareholders in the form of dividends maintaining a yield that remains at the high end of our industry peers. As previously announced on January third, we sold our Mable business, which added an approximate $200 million in cash to our balance sheet. Our credit agreement requires us to use the proceeds from the sale towards our debt or business-related capital investments. After the sell in Q1 2025, used $115 million of these proceeds to further reduce our outstanding debt reinforcing our commitment to maintaining a strong financial position as we work towards cash to debt neutrality. We did not repurchase any stock and have $162.4 million remaining on our current authorization. Looking ahead to 2025. We are encouraged by improving revenue trends across several markets while continuing to navigate challenges in China and Korea. We project 2025 revenue in the range of $1.48 billion to $1.62 billion including an estimated foreign currency exchange headwind of $52.5 million or 3%. Excluding Mabley from the prior year comparison, we anticipate a revenue decline of 3% to 11%. We anticipate earnings per share in the range of $3.45 to $3.85 with adjusted earnings between $0.90 and $1.30. This reflects strong growth of 7% to 55% driven by the successful execution of our operational efficiency initiatives. We project first quarter revenue between $345 million and $365 million factoring in an expected foreign currency headwind of approximately 3%. Reported earnings per share is anticipated to be in the range of $2.65 to $2.75 or $0.10 to $0.20 when excluding the transaction of May. As a reminder, Q1 is historically our lowest quarter due to the seasonality of our business. So in review, of 2024, we have taken significant steps strengthen our financial foundation enhancing our cash position, materially reducing leverage year over year and aligning our inventory portfolio with a renewed brand strategy. Looking ahead, we are forecasting meaningful earnings growth and are well positioned to deliver even in the face of top line pressures in certain markets. We remain committed to executing our strategy with discipline, providing transparency around our initiatives, and driving long-term value for our shareholders. We look forward to sharing our continued progress in the quarters ahead. And with that operator, we'll now open up the call for questions.
Operator: Thank you. A question, please press star one one on your telephone. I'm advised that your hand is raised. We also ask that you please wait for your name and company to be announced. Before you proceed with your question. One moment for the first question. And our first question will come from the line of Sydney Wagner of Jefferies. Your line is open. Hi. Thank you for taking our question. You called out continued economic challenges in South Korea and China.
Sydney Wagner: Just wondering if you can elaborate on how those trends in those regions progressed throughout the quarter and then maybe any kind of incremental detail. It sounds like you're continuing to expect headwinds into 2025, but any any extra color there, you can Sure. Thank you.
Ryan Napierski: Yeah, Sydney. No. Great question. Yeah. I I think we're all probably reading the same materials. And so I'm not sure how much how much detail to go into there. But you know, economic outlook reports from various Thanks. And and the like, continue to be fairly fairly hesitant for both of these markets. And I think a couple of key trends that we're noticing then maybe I could give you local context as well from our teams there. Is this it really is as economic challenges occur, you know, spending consumer spending drops, savings rates go up, unemployment's down. And and economists right now are are expecting that to to persist throughout 2025. In our from our point of view, we we have it built into our forecast as as, you know, not necessarily getting worse. But we're also not seeing you know, the silver lining yet over there. So so our local teams as we work with our our teams over there, I I think their their sense of of it is relatively consistent that consumers are hesitant to spend these days. I think discounts sellers, especially local brands, both in China and Korea, You know, Coupang, for example, in in Korea, China, obviously, a lot of local branding there. That tends to be a consumer priority as it as it's going on there. So really just we're we're forecasting out as we look at the world. It's, you know, it's consistent or similar to what we over the past year, but we'll continue to, you know, to monitor it. I think on our side from a more proactive point of view, really trying to lean into how do we support local consumers during economic economically challenged times. We look at our product pricing strategy, how those products fit into the market, We look at our our emerging opportunity as as we obviously are provide a bit of a a gig type of opportunity there. And so we believe we have opportunities for the market. In those, you know, in those places, but I think those macro pressures will continue. You do it? To persist throughout the year?
Sydney Wagner: That's helpful. Thank you.
Ryan Napierski: Thanks, Sydney.
Operator: Thank you. One moment for the next question. And our next question will be coming from the line of Christine Yu of DA Davidson. Your line is open.
Christine Yu: Hi. This is Christina. Congrats on the quarter. I just want to ask about I think you mentioned there are going to be certain markets that are to return to growth in twenty five. So, like, can you talk a little bit about, like, what markets do you expect potentially return to growth in twenty five notice that America is had two sequential growth periods. So and what what are what do you see as a primary catalyst for that kind of, like, recovery?
Ryan Napierski: Yeah. Hi, Christine. Good day to hear from you again. Yeah. So I think you all provide comments and maybe James will have additional thoughts there. Yeah. Some areas that we're particularly encouraged about leaving 2024 and these are kind of sub segment levels, but Latin America is doing really, really well. A we report that up through the Americas segment. But but Latin America is doing well and we do see we do believe the Americas has has real potential to grow next year. Looking forward to Southeast Asia Pacific also with with good potential. Japan, we believe has potential there, and and and I think those are some of the key that we're looking at there. Again, as we just discussed, China and Korea continue to be challenged for the upcoming year. And then Europe, as as we watch that, we believe there's opportunities in in Europe as well. But, James, any Additional. Color you could provide? Yeah.
James Thomas: You know, you touched most of the markets where we're seeing, you know, in our forecast and in our guide where we where we show those signs of growth. Really, with deploying that developing market strategy. We're looking at know, how can we expand that in other regions? So Southeast Asia, we're going out with. And then some of our Europe markets, we're also deploying that. And we've seen good success there. When we get pricing right. So those are two of them. Ryan called out Japan where we're seeing growth. And then I will add that the other segments in our in our guide of down 3% to down 11%. We are seeing reduced declines for those other segments. So we're improving in some of those areas, but we're still facing some some top line pressures there. Working our way through it.
Christine Yu: Okay. Okay. Thank you. Maybe another question. I know you started selling on Amazon in the US. Last year early last year. And just wondering, like, how do you see the self performance on like, on Amazon, like, can you comment a little on that?
Ryan Napierski: Yeah. I think Amazon's been an interesting journey for us. In in particularly in the US where we've been exploring various approaches. Obviously, in our business, it's it's important that we maintain the premium image of of our brands and the premium positioning of our brands unfortunately, in these third party marketplaces, there tends to be a lot of discount reselling that hurts the brand and hurts our entrepreneurs opportunities to to build their businesses. And so we began a couple of years back maybe not quite a couple of years, eighteen months or so ago with an exploration with our partners there to really eliminate leveraging the policies and procedures in Amazon eliminate or limit the discount resailing by unauthorized sellers on their platform. And it's really been helpful to do that to do that benefit. We've been able to to to largely minimize that that distraction from our our our own business and our own brand. In addition to that, as we sell our our product there, retail plus those products have done well and and and we continue to build out that platform. We don't report numbers on it. It's it's part of our our America's revenue. What I will say is I think our strategy there is is a really a dual benefit. On the one side, we're able to offer consumers access to products in in a way that only Amazon can from an an accessibility perspective with all the benefits of Amazon like Prime. But also that this the the additional benefit is then supporting our our affiliates who are who are in the same marketplace seeking out customers as well. And so it it it creates a more fair playing field than while we build our brand there. We'll continue to explore opportunities. We believe that there are platforms around the world. Well, we know there are platforms around the world that have similar both challenges and opportunities. We're going to continue to explore those in 2025 and as it becomes a more meaningful part of revenue, I think we will will plan to provide more detail on those. But for now, it's working as as we had hoped, and and we're leaning further into it to understand how we can provide that dual benefit.
Christine Yu: Okay. Thank you. I'll pass it on.
Ryan Napierski: Thanks, Christina.
Operator: Thank you. And that does end our Q&A session for the day. And I would like to go ahead and turn the call back over to Ryan Napierski. Please go ahead.
Ryan Napierski: Thank you very much, and thanks for the questions. We really appreciate that. You dialing in, and would be happy to answer any additional questions that you have. Please just feel free to reach out to BG. James, or myself with those. We very much appreciate your your paying attention and you're watching Nu Skin. We're excited about what's coming out in the future. I know that that the world can continues to be an unsettled place, but we're here at Nu Skin acutely focused on driving value through innovation. With the likes of Prism. Io, with our developing markets and continue to build out our Rise business, which has great potential. And so we look forward to updating you on further calls. Quarter by quarter if these plans unfold. So look forward to speaking with you in the next ninety days. Take care.
Operator: Thank you all for joining today's conference call. You may now disconnect.